Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:03 Good morning, and welcome to today’s First Bank Fourth Quarter 2021 Earnings Conference Call. My name is Candice (ph), and I'll be your moderator for today’s call. [Operator Instructions]. I’d now like to pass the conference call over to our host, Patrick Ryan, President and CEO of First Bank. Patrick, please go ahead.
Patrick Ryan: 0:37 Thank you. I'd like to welcome everyone today to First Bank's fourth quarter 2021 earnings call. I'm joined by Andrew Hibshman, our Chief Financial Officer, and Peter Cahill, our Chief Lending Officer. Before we begin, Andrew will read the Safe Harbor statement.
Andrew Hibshman: 0:56 Thanks, Pat. The following discussion may contain forward-looking statements concerning the financial condition, results of operations and business of First Bank. We caution that such statements are subject to a number of uncertainties and actual results could differ materially, and therefore, you should not place undue reliance on any forward-looking statements we make. We may not update any forward-looking statements we make today for future events or developments. Information about risks and uncertainties are described under Item 1A Risk Factors and our annual report on Form 10-K for the year ended December 31, 2020, filed with the FDIC. 1:32 Pat, back to you.
Patrick Ryan: 1:37 Thanks, Andrew. Overall, I think Q4 was a great finish to a really strong year. I would like to start by hitting on a couple of the key financial performance milestones. In Q4, we had really strong return on average assets of 1.27%, which actually calculate to 1.33% if you back out the merger-related costs associated with our branch acquisition, which we finalized in December. Looking at return on tangible common equity, we were at 12.63%, which when adjusted for merger costs was 13.26%, very good ratios there as well. Our efficiency ratio came in below 50% for the fourth straight quarter. 2:22 Our pre-provision net revenue almost hit $12 million when you exclude merger-related costs. Our pre-provision net revenue return on assets has been over 1.85% in each of the past four quarters, and our net interest margin was over 3.5% for the past five quarters. While many banks are performing well right now, our performance clearly places us within the top quartile, based on our peer comparison of these important financial metrics. 2:50 Looking at the lending side of the house, we basically did the equivalent of a year's worth of lending in the fourth quarter. Our growth came primarily from C&I and owner occupied commercial real estate, which are two areas where we're strategically trying to increase market share. So we are pleased to see not only the growth in the quarter, but where it came in and the impact on our mix. Most of the growth during Q4 came at the very end of the year. So the full benefit of those loans will show up in this year 2022. 3:24 We're glad to see that asset quality is holding up quite well given what appears to still be a very uncertain market for a lot of folks. Our SBA group continues to perform very well helping to drive and improved non-interest income. And we continue to explore additional C&I growth opportunities to drive growth in C&I lending as we move forward. 3:46 On the deposit side, we brought in $100 million in new low-cost deposits from the branches, we acquired OceanFirst. And that money came in at just the right time as we had fresh low-cost funding available for the strong loan growth that we saw in Q4 and obviously was helpful not to be sitting on lots of excess liquidity during the quarter. 4:06 We continue to move our deposit costs lower, we reduced them to an overall cost of 21 basis points during Q4, which was down from 25 basis points in the prior quarter. We also saw continued success in our commercial deposit and cash management area and cash management deposits now make up almost half of all of our non-consumer deposits. So good progress in that area. 4:30 Couple of quick thoughts regarding profitability. When you look at the expense side, and you actually take a look at the impact of the higher variable incentive comp that was accrued in Q4, our core employee salary and benefit number actually came down in the fourth quarter compared to the third quarter. So while we obviously need to keep a close eye on labor costs in this inflationary period, it's clear that past efforts to control costs are working. And we view the high variable comp as a positive since it only materializes when the bank delivers really strong results. 5:08And when you look at our core results backing out one-time income and expense-related items, we continue to see a core return on average assets of right around 1.2%, which is a very good number compared to historical standards. And as we look out to 2022, if the impact of the Fed moving on interest rates is stretching out of the slope of the yield curve, we might be able to see some even improved profitability over that current level. So we're optimistic about 2022. 5:40 In summary, we view this as another overall very strong quarter, and a really great year, we feel like we're hitting on all cylinders in lending. Our growth has been strong, our pipeline remains robust, our yields are holding in are rising, and our asset quality looks good. Deposits remain very good. We've seen good non-interest bearing growth, we're having continued success in cash management and funding costs continue to move a little bit lower. The core business is growing nicely. And we're actively exploring niche lending and deposit opportunity to keep on track as we move forward. 6:16 So at this time, I'd like to turn it over to Andrew, to give us some additional information on the results in the fourth quarter, Andrew?
Andrew Hibshman: 6:26 Thanks Pat. For the three months ended December 31, 2021, we earned $7.8 million in net income or $0.40 per diluted share. This resulted in net income of $35.4 million for the year ended December 31, 2021, or $1.79 per diluted share. The factors contributing to another strong quarter included stable net interest margin and improved non-interest income. Net income declined slightly compared to the prior quarter primarily due to the what Pat mentioned the higher non-interest expenses related to the acquisition and the higher incentive compensation expenses during Q4. 7:03 From a balance sheet perspective, as Pat mentioned, we had a very strong loan growth quarter, excluding PPP loan forgiveness, loans were up $134.4 million in Q4 compared to an increase of non-PPP loans of approximately $13 million in Q3. That loan growth did include approximately $11 million from the OceanFirst branch acquisition that was completed during December of this year. 7:27 Net loan growth excluding PPP activity was $150.5 million for the full year. A significant amount of the year-to-date and Q4 growth was towards the back end of fourth quarter, which Pat mentioned, which we do expect to help propel our interest income in 2022. During Q4 2021, $26.7 million in PPP loans were forgiven, leaving approximately $51 million in PPP loans outstanding at the end of the year. 7:54 During Q4 2021, we realized $1.1 million in PPP fee income, and that compared to $1.8 million in Q3 2021. As of the end of the year, we had $1.7 million in deferred PPP loan fees remaining. Even after our strong loan growth quarter, we feel good about the strength of our commercial loan pipeline and prospects for loan growth, which Peter will mention in additional detail later. 8:18 Total deposits were up $68.6 million during Q4. While we continue to reduce our reliance on higher costs time deposits, we obtained approximately $100 million from our branch acquisition, which translates to a decline of approximately $31 million in other deposit activity during Q4. This was a targeted and strategic decline to minimize our excess liquidity in anticipation of the branch acquisition. For example, during Q4, we reduced our broker deposit balances by just over $15 million. 8:49 Non-interest bearing demand deposits as a percentage of total deposits increased slightly during Q4 to 26.4%. This compared to 26.3% at the end of September, while time deposits dropped to 18.5% of total deposits at the end of the year, compared to 20.6% at September 30, 2021. 9:10 In addition to shifting our deposit mix, we have been able to lower the cost of our interest bearing deposits, which coupled with the deposit mix shift has contributed to a significantly lower cost of deposits which Pat previously mentioned. Our tax equivalent net-interest margin, which bottomed out during the second quarter of 2020 to 3.07%, held steady at 3.52% for the quarter ended Q4 2021, compared to 3.54% in the previous quarter. Our margin continues to benefit from lower cost of deposits and minimizing decline and the average yield on interest-earning assets. Excluding PPP fee income, our margin would have been approximately 3.33% in Q4 versus 3.23% in Q3, so nice uptick and margin during the quarter. 9:58 With the anticipation of rising rates in 2022, we are well-positioned for the rising rate environment and anticipate that excluding the impact of PPP fees, we should be able to maintain a fairly stable margin in 2022 and as Pat mentioned, if we get some expansion the yield curve, we could see a slight improvement in the margin in 2022. Based on another low quarter, in terms of charge-offs, and continued strong asset quality profile, we reduced our allowance for loan losses as a percentage of loans to 1.15%. This is excluding the impact of PPP loans, though the level was 1.19% at September 30, 2021. 10:36 Non-performing loans were up slightly from the prior quarter, but past due loans and COVID related deferrals were both down. COVID related referrals now total only $1.6 million at December 31, 2021. In spite of a decline in the allowance, as a percentage of loan, we recorded at $825,000 provision for loan losses in Q4, which was primarily due to the loan growth during the quarter. This compared to a provision of $158,000 in Q3 2021. In spite of the positive trends, our allowance as a percentage of loans continues to be elevated compared to pre-COVID levels, which was right around 1% at December 31, 2019, the last quarter before we made some COVID adjustments during 2020. 11:19 In the fourth quarter of 2021, total non-interest income increased to $2.2 million from $1.9 million in Q3. The increase from Q3 2021, mainly related to an increase in loan fees, which was primary loan swap fees and an increase in gains on recovery of acquired loans. The increase was offset somewhat by a decline in gains on sales of loans and a decline in other non-interest income. SBA loan sale income, which is our primary source of loan sale gains actually increased slightly in Q4 2021, compared to Q3. The overall decline compared to Q3 was due to some non-SBA loan sales that occurred in Q3. The decrease in other income compared to Q3 was primarily due to $159,000 gain on the sale of a closed branch building that occurred in the third quarter. 12:10 While non-interest income levels may continue to fluctuate, the underlying strength of our non-interest income generations of capabilities has improved from prior years. In Q4 2021, we continue to focus on controlling non-interest expenses, which resulted in the fourth straight quarter of our efficiency ratio under 50%. Our efficiency ratio did increase slightly during the quarter, compared to the prior quarter and this was primarily due to the elevated level of incentive comp, which we mentioned previously. 12:35 In total non-interest expense was up $1.3 million or 12.4% to $11.8 million in Q4 versus $10.5 million in Q3 2021. The increase was due to the aforementioned incentive comp increases, which was approximately $850,000 higher than Q3, and our merger-related expenses associated with the OceanFirst transaction. The merger related expenses during the quarter are all recorded and there should be no significant additional expenses related to the actual merger of those branches. With a strong commercial loan pipeline, the continued trend of lower costs funding base and effective management of non-interest expense, we are well-positioned to continue our strong and improving core profitability trends in 2022. 13:22 At this time, I'd like to turn it over to Peter Cahill, our Chief Lending Officer for his remarks, Peter?
Peter Cahill: 13:28 Thanks, Andrew. The earnings release outlines well the overall results for lending and Pat into highlighted what we accomplished. All in all, after a slow start to 2021, we finished very strong and exceeded our organic non-PPP loan growth goal of $120 million by $19 million, or 16% of plan. Noise in the lending results are PPP loans, which are in the forgiveness stage and continue to decline, as Andrew mentioned, and loan payment deferrals related to COVID, which are down to just a little over million dollars, both are detailed in the earnings release. 14:12 Lastly, as you know, we picked up $11 million of consumer loans with our acquisition of the two OceanFirst branches. I'll focus my comments on everything other than these things, which amounts to organic loan growth. 2021 was heavily impacted by loan payoffs. Organic loans were down significantly in Q1. We recovered in the second quarter, and overall growth was a little over breakeven for the first six months. We grew a bit in Q3, but most of our loan growth for the year took place in the fourth quarter. When we look at the fourth quarter growth, 60% of that growth took place in December. December growth was approximately 50% of our total growth for the year. So clearly, clearly back ended the year in 2021. 15:04 I spent some time during the third quarter earnings call describing the nature of the payoffs that we've been experiencing all year, I thought I'd recap the extraordinary level of repayment as well as how we ended up exceeding plan. Comparisons to 2020, where we had a good year and also met our plan or telling. Total loans closed and funded for 2021, total $475 million, an increase of $133 million, or 39% over 2020. 15:38 Offsetting new loans funded; however are extraordinary loan payoffs. Total loan payoffs for 2021 were $246,000 million, 78% more than we had 2020. For those interested in where these payoffs came from, in terms of dollars, 71% were loans from our investor real estate segment. 16:01 We looked at the reasons behind all of the payoffs. The largest group 42% were from borrowers who sold the underlying asset. Those sell mainly in the investor real estate area. The next largest group at 29%, or borrowers who refinance their loans elsewhere. Most of these were investor real estate loans as well. A request to lower the rate or upsize the loan amount are the most common reasons for refinancing in this area. In certain cases, we chose to protect our overall yield or preserved credit quality, rather than change the loan terms. 16:39 The third group is 18% relates to situations where we chose to improve our portfolio mix by reducing exposure to certain borrowers or industries. While payoffs hurt, because they reduce our running assets, they also allow us to accelerate the income and reposition our loan portfolio. One thing I’d like to highlight during about the year, it was our ability to grow C&I loans. When I talk about C&I, I'm including owner occupied real estate loans as well. As you know, we've been focused over the past few years on increasing our level of C&I relationships. We know that they bring better levels of deposits with them, and we know they are stickier than investor real estate loans. 17:24 2021 was a good year for us regarding growth in C&I. Historically, our mix of commercial loans has been around 55% to 58, investor real estate and 42% to 45% C&I. Kind of our simplified goals, to try to move towards 50% or 50% invest in real estate growing your own C&I portion organically. In 2021, we were happy to see our focus on C&I, it's paying off. When we look at where our growth for the year came from, approximately 77% of growth came from the C&I segment. We still grow investor real estate loans as we plan to always do, but just not at the rate of C&I loans. 18:10 I was asked a couple of quarters ago about utilization rates on our working capital lines of credit, which for us are exclusively C&I nature. The past year showed some interesting things regarding utilization rates. If you look at the numbers, rates declined over the course of the year. For example, at year end 2020, our utilization rate was 54%. The rate for yearend 2021, however, was lower at 45%. The difference obviously is 9%. This reduction is a result of lower utilization on existing facilities and the addition of new facilities that came into the bank late in the year with minimal utilization. 18:54 At this point, I'll segue my way over to our loan pipeline, which remains strong. At our last earnings call for the third quarter 2021, I reported that the pipeline stood at $265 million, which was a record level for us at the time and the basis for the strong fourth quarter. I'm happy to report that the loan pipeline at year end, right after closing much of our loan growth for the year stood at $262 million, or reduction of only a shade over 1%. We continue to source good business in our market and the pipeline continues to be well diversified. 19:31 A review of the pipeline leads to a discussion of projected loan fundings. As I mentioned before each month, we look out 60 days in project funding and payoffs for Andrews team and finance. Despite a very strong end to the year, January and February looks solid, represent a big turnaround from the start we projected unexperienced in 2021 – early 2021. 19:56 So in summary, despite loan growth being back ended for the year. We exceeded our point-to-point organic loan growth plan in 2021 and the outlook continues to be positive as we enter 2022. New Hires we made the middle of 2021 are doing very well. Andrew mentioned our SBA lending group earlier, it hit – it’s stride in 2021, doubling this goal for the year and we expect continued growth with this team in 2022. 20:23 As the earnings release mentioned, we received SBA preferred lender status near – right near the end of the year. And that should also help us make, help make us more responsive to customers going forward. And we're also as we always do, we're augmenting support staff this year to allow for additional growth in our regional sales teams. 20:46 Lastly, regarding asset quality, Andrew commented on that the earnings release provides the normal data and where we are, just reiterate the things from my perspective, continue to look good. Delinquencies were very low near record levels at year end, and normal credit metrics are still solid. That concludes my report for lending for the fourth quarter. I'll turn it back over to Pat for some final comments. Pat?
Patrick Ryan: 21:16 Thank you, Peter. Well, at this point, I'd like to turn it over to the operator to open it up for Q&A.
Operator: 21:24 Thank you. [Operator Instructions]. Our first question comes from Nick Cucharale from Piper Sandler. Nick, your line is open. Please go ahead.
Nick Cucharale: 21:58 Good morning, everyone. How are you?
Patrick Ryan: 22:01 Good. Good morning Nick.
Nick Cucharale: 22:03 So I'd like to start with expenses. I appreciate your commentary on the $850,000 linked quarter increase in variable comp. If you remove that impact in the merger expenses, is this a good run rate? And how do you think about the expense base playing out throughout 2022, especially in light of the wage pressure in the economy?
Patrick Ryan: 22:21 Yeah, I'll give you a couple of thoughts and then let Andrew dive in here, Nick. But I think the – the incentive comp in Q4 was higher a because we performed better, but there's also a component of a catch up, right? So we're running an accrual all year, based on sort of budgeted performance. And then over time, as we start to realize that we're performing in excess of budget, then we start to bump up the accrual. So I think the short answer is you can't just back it all out and assume that it's the normal run rate. But Andrew compared Q4 to Q3, which is probably closer to a normal run rate if we hit budget. So, we've made some changes to make our variable comp, a little more variable, if that makes sense. So I think the good news is we're a little more aligned in terms of making sure that pay for performance is there, but it makes it a little harder to predict the run rate, because you don't necessarily know you're going to hit budget a little below a little above. 23:25 So I think, it's Q3 is probably a decent proxy for a run rate, but even that's not a perfect number. And on your second point, we're certainly keeping a close eye on expenses and wage inflation. Obviously, there's a lot of information out in the press about what's happening, both in terms of the ability to retain folks and what you need to do to attract folks. So I think we're trying hard to make sure we can keep a lid on that expense growth as best we can. But I certainly expect that kind of the base rate, salary levels next year will be higher. Traditionally, I think we were looking at 2% to 3%, kind of inflation-based increase, and I suspect that number will be – will be higher by a 1 or 2 this year. But we've got other ways to manage that right? And you have got what you pay per person and then you've got how many people you have and how you reallocate work to make sure you can stay lean and so we're looking at all those factors and short answers. I think expenses will be up almost certainly, but I think we'll do a good job, trying to manage that growth. Anything, you would add there, Andrew?
Andrew Hibshman: 24:42 I think you hit it though. There will clearly be some bit of a creep. I mean, we did, we added a couple of branches towards the end of the quarter, which will – but they're fairly – they're consistent with our model, which is fairly cost effective branches that aren't significantly expensive, but $10.5 million was the non-interest expense in September quarter, the $11.8 million was the expenses in the fourth quarter, probably the run rate going forward somewhere in between there, a little bit higher than the third quarter, but not nearly as high as the $11.8 million we had in the fourth quarter.
Nick Cucharale: 25:20 Okay, that's very helpful. And then back to your remarks for stable NIM in 2022, excluding PPP, does that include rate hikes? And is your anticipation to show some NIM expansion through the first several rate hikes?
Andrew Hibshman: 25:36 Pat, you want to take that first. Do you want me to take a crack at it that you can jump in?
Patrick Ryan: 25:41 No, no, go ahead.
Andrew Hibshman: 25:42 Yeah, I mean, I think we're well balanced. So I think we're in a good position for rate hikes, it's really going to depend on what happens with the yield curve. If the yield curve, short end moves up, the long end doesn't and tightens, that's obviously bad for banks across the board. But we do feel like the way we positioned ourselves, we're in pretty good shape for rising rates. I don't want to predict exactly where it will be at. But I think we can, at the very least keep a stable margin. But I think it'll be a little bit difficult, at least early in the process. Typically, as rates move, curve kind of tightens, at least at first. But again, I think we're in pretty good position to not see a big, there's a lot – there's not much downward risk, I think, on our margin at this point, as I see it. But we'll see how kind of everything shakes out during the year.
Nick Cucharale: 26:35 Okay. and then nice, we are getting a loan growth target this year. What are you targeting for loan growth in 2022? And do you expect that to be back-end loaded, given such strong growth in the fourth quarter?
Patrick Ryan: 26:48 Well, it's always kind of been – it's always tended to be back end loaded a little bit. But we don't, we're not – we're not projecting much of that this year. I don't believe Andrew could jump in there in a minute. But the growth plan for the year is a little under 10%, I think, right around $200 million, where the plan for this year was $120 million.
Nick Cucharale: 27:13 Thank you for taking my questions.
Patrick Ryan: 27:17 Thank you, Nick.
Operator: 27:20 Thank you, Nick. Our next question is from Bryce Rowe from Hovde Group. Bryce, please go ahead.
Bryce Rowe: 27:29 Thanks a lot. Good morning. Good morning, guys. Maybe just a little more follow-up around the margin discussion there. Obviously, you've seen a pretty material improvement in your in the funding mix, and the funding side of the – of your balance sheet. I was curious how you're thinking about kind of deposit betas with the prospects for rate hikes come in here and 2022?
Patrick Ryan: 28:02 Yeah, I mean, we obviously model deposit increases as rates move higher. We do it based on historical, evidence of what we've seen in prior rate moves higher. As you know, every markets a little bit different and the key variables us competitive dynamics, I think we're starting from a point of very strong liquidity in the system overall, which you would expect would lead that maybe deposit betas won't go up quite as quickly as they haven't in other environments. But we don't know how quickly the money is going to get sucked out of the system. And you're starting to see signs that loan growth might be picking up, which obviously, could put some, excess liquidity to work and therefore, put some pressure on deposits maybe later in the year. So I think that the numbers we have in our model are reflective of what you usually see in these rising rate environments. But, whether it'll come in a little better or worse than that, it's hard to say, I don't know, Andrew, anything you want to add there?
Andrew Hibshman: 29:06 No, I think, you hit it. I mean, we're still seeing, for example, I mean, we've led a lot of our brokered money go but brokered money is still very cheap, because there's just, there's a lot of money out in the system, and they're looking for places to put it. A lot of municipal, we're seeing a lot of bids for municipal money and the bids are not crazy in terms of what we've seen historically. So yeah, we'll see, I mean Pat's point about how quickly the liquidity gets sucked out of the market is the best point. But right now we're still seeing a lot of liquidity and if that kind of sticks and rates move and there's still a lot of liquidity that should help with beta pressure, but we'll see how it all shakes out.
Bryce Rowe: 29:45 Okay, that's good color. Maybe one for Peter, just around the loan prospects here for ‘22. Peter, any sense for how payoffs are kind of shaping up. I mean, you talk a lot – you talked a lot about the investor real estate pressure, so to speak from ‘21. Just curious how your, how that feels right now?. Do you still – you still see some of these some of these investor real estate projects, maybe wanting to get pushed out or refinanced, sold or refinanced? And does that kind of play into the increased budget from a loan growth perspective for ‘22?
Peter Cahill: 30:32 Good question. I don't think we're seeing any tremendous pressure payoffs. I mean, this time last year, we knew the first quarter of 2021 was going to be tops. And we're just not seeing it, when we do a 60%, or 60% a day. Look out on loan funding, we're also looking at payoffs, and it's never, it’s not an exact science, but we're not seeing a degree of payoffs that we have been seeing this year. 31:07 I don't think that's what's driving the plan. I think the overall teams come together. Better, we had a number of openings in our team through most of 2021, we fill those. We just feel good about prospects and what the pipeline looks like and what folks throughout looking at, so that's kind of where we are.
Bryce Rowe: 31:34 Okay. That's great. That's helpful. Last one for me. You guys highlighted the preferred SBA status and obviously that's been a highlight here, within the income statement with the loan sale gains coming from the SBA group. Can you speak to any kind of impact from a positive perspective that you might see for having that SBA preferred status relative to that – to that fee income line, that would be helpful? Thanks.
Peter Cahill: 32:05 Well, I can – I can tell, go ahead, Pat.
Patrick Ryan: 32:10 No, no, no. It's okay. I'll jump back after you.
Peter Cahill: 32:13 Yes. I'll just say that when you look back over the last three years, we did a handful of deals in 2019. I think we did five SBA loans in 2020, 14 in 2021 and those were not as a preferred lender and you were lower on top of that PPP, the pressure that’s put the SBA on there to turn around deals would be responses, if you're not a preferred lender, it was a handicap, that's we were not projecting or nor is our plans to blow out SBA business and do five times the number of deals we've done, but we did – what did I say 14 – 13, 14 deals in 2021 and I'd be disappointed if we didn't do 20 or roughly. So it's going to help us. 33:14 Pat, do you want to add that?
Patrick Ryan: 33:14 Yeah. I would, I would echo those comments, I mean you got – we got two things helping us heading into the year, well, three things, we've got momentum, right? Well, now that we've built a better system in process that should help continue to flow. We've added a quality person to the group and now we've got preferred status, which means we can move faster on deals. So, as Peter said, our expectation is to do even better in ‘22 than we did in ‘21 and I think we've got good reason to be optimistic there. So…
Bryce Rowe: 33:50 Excellent. I appreciate the answers. That’s it for me. Thanks.
Patrick Ryan: 33:56 Thank you, Bryce.
Bryce Rowe: 33:57 Yeah.
Operator: 33:58 Thank, Bryce. Our next question is from Erik Zwick from Boenning & Scattergood. Your line is now open. Please go ahead.
Erik Zwick: 34:08 Good morning, guys.
Patrick Ryan: 34:11 Good morning, Erik.
Andrew Hibshman: 34:12 Good morning.
Erik Zwick: 34:14 Wondering first, can you remind me with the two branches that were acquired. Were any commercial lenders included with that acquisition?
Andrew Hibshman: 34:27 No.
Erik Zwick: 34:28 Okay. And where does your kind of total commercial understand today? The headcount?
Patrick Ryan: 34:36 We're roughly around 25. We've break it up by regions. New Jersey, which is primarily Mercer County in North and then, Pennsylvania South Jersey market. And then we also have teams focused on investor real estate and SBA. Obviously, we just talked about that and a couple of consumer lenders that are responsive to business brought in through the branches.
Erik Zwick: 35:08 Great, thank you for the update there. And then, Pat, in your prepared comments, you mentioned, I think that the language use was continued to explore, new C&I opportunities and Peter certainly mentioned a little bit in his comments as well. But I'm curious is that, in those new opportunities purely just having, adding some new lenders in the year and making sure calling efforts are staying diligent? Are you also considering, kind of expanding into your markets a little bit and maybe lending to new industries? Or just curious if you can, add a little bit to that, to that comment?
Patrick Ryan: 35:43 Yes. I think it's a combination of everything you mentioned, right? We continue to incentivize and coach our folks to focus a little more on C&I. As we bring in new folks, they have connections or expertise in areas where maybe we haven't done much in the past. So, get a little bit of additional new C&I exposure through some of those new hires. And then we're, we're actively looking for opportunities, as we get bigger as our lending limit grows, we have opportunities to move up and to, more of the true middle market, as opposed to the lower end of the middle market where we've been and so I think there's just a variety of new opportunities emerging that we're exploring that, won't fundamentally change the composition of the balance sheet overnight, but I think it will allow us to continue, the really good results we saw in ‘21, which is a loan mix, which is [Indiscernible] out a little bit more between CRE and C&I, so.
Erik Zwick: 36:46 Thanks, Pat. That’s helpful. And just last one for me, for Andrew I guess, I think that the effective tax rate for 2021 was still a little bit above 24%. Is that a good rate to use? Again or would you expect any, any differences in ‘22?
Andrew Hibshman: 37:05 No, we don't expect any significant changes. There's a lot of things that can impact the tax rate. But yes, I think we're still thinking mid, mid 24%, low 24% for a run rate unless things change, but there shouldn't be a huge swing in the tax rate, unless obviously, there is some kind of tax rate change or tax law change, but that’s pretty good estimate for what we expect the run rate to be going forward.
Erik Zwick: 37:31 Perfect. Thanks for taking my questions this morning.
Patrick Ryan: 37:36 Thanks, Erik.
Operator: 37:38Thank you, Erik. Next question is from Manuel Navas from D.A. Davidson. Manuel, please go ahead. Your line is unmuted.
Manuel Navas: 37:49 Hey, good morning.
Patrick Ryan: 37:55 Good morning, Manuel.
Manuel Navas: 37:57 Can you help describe the colonials you're seeing in either in the fourth quarter or in the pipeline currently?
Patrick Ryan: 38:08 I would, I would describe them as up a bit. Right. I mean, you see what's going on in the treasury market. And that is our primary benchmark on five and seven-year loans. And, our folks have been trained, price off of treasuries and we haven't seen huge compression in that spread over treasuries. So, the short answer is, I think the stuff we're looking at today is up 25 bps, 50 bps, so over where it was three months ago. Peter, anything you'd add there?
Peter Cahill: 38:40 No, I agree. I would say, overall, specific yields we're looking at are in the high threes to 4%. We’re prior for top credit, you might be down in the lower threes to 3.5%, so we're up – we're up a bit fourth quarter.
Manuel Navas: 39:01 Given where the pipeline is and how much I kind of close with a comparable pipeline in the fourth quarter. Is there some definite upside to the loan growth outlook?
Peter Cahill: 39:21 Well, I think there's upside, we don't anticipate, quite the level of payoffs that we had in 2021. And the pipeline now is arguably about the same level as it was heading into a strong fourth quarter. So, we talked about our goal going up fairly significantly from under $20 million to $200 million, almost 10%. So, I think we're expecting some upside.
Manuel Navas: 39:51 Okay, thank you very much.
Peter Cahill: 39:55 You are welcome.
Patrick Ryan: 39:55 Thank you, Manuel.
Operator: 39:58 Thank you, Manuel. There are currently no further questions registered. [Operator Instructions]. There are no additional questions waiting at this time. So I will pass the conference over to the management team for closing remarks.
Patrick Ryan: 40:19 Thanks very much. I just like to thank everybody for taking their time to listen in and ask questions on the call today. And we'll look forward to regrouping with everybody after the end of the first quarter. Thank you very much.
Operator: 40:34 That concludes our First Bank fourth quarter 2021 earnings conference call, you may now disconnect your lines.